Operator: Good morning, my name is Kyle and I will be your conference operator today. At this time, I would like to welcome everyone to the Fifth Third Bancorp’s 3Q18 earnings call. All lines will be placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question, simply press star then the number one on your telephone keypad. To withdraw your question, press the pound key. Thank you. Mr. Sameer Gokhale, Head of Investor Relations, you may begin your conference.
Sameer Gokhale: Thank you Kyle. Good morning and thank you all for joining us. Today we will be discussing our financial results for the third quarter of 2018. Please review the forward-looking cautionary statement in our materials, which can be found in our earnings release presentation and other materials. Fifth Third undertakes no obligation to and would not expect to update any such forward-looking statements after the date of this call. Part of our discussion includes commentary surrounding the proposed merger of MB Financial Inc. and Fifth Third Bancorp. Please also review the cautionary language contained in our earnings release and related presentations concerning important additional information regarding this merger and where to find it. Reconciliations of non-GAAP financial measures we reference during today’s conference call are included in our earnings release and related presentation, along with other information regarding the use of non-GAAP financial measures. This morning, I’m joined on our call by our President and CEO, Greg Carmichael; CFO Tayfun Tuzun; Chief Operating Officer Lars Anderson; Chief Risk Officer Frank Forrest, and Treasurer Jamie Leonard. Following prepared remarks by Greg and Tayfun, we will open the call up for questions. Let me turn the call over now to Greg for his comments.
Greg Carmichael: Thanks Sameer, and thank all of you for joining us this morning. Earlier today, we reported third quarter 2018 net income available to common shareholders of $418 million and earnings of $0.61 per share. Included in these results are two items which had a negative impact of $0.03 on reported EPS. Excluding these items, core earnings were $0.64 per share in the third quarter. Our financial results for the quarter were strong and reflected our focus on generating profitable growth, strengthening our balance sheet, and maintaining our expense discipline. I am pleased that we are continuing to realize the benefits of several initiatives we implemented under Project North Star. Before I revisit our key strategic priorities and highlights for the quarter, I’d like to make a few observations about the macroeconomic environment. The economic backdrop remains generally strong. Consumers are benefiting from a strong labor market with the lowest unemployment rate in almost 50 years and healthy wage growth. These factors have helped drive increased consumer spending and positive consumer sentiment; in fact, consumer confidence among lower income Americans is at the highest level since 2000. In our core commercial business, our clients continue to see the benefits of lower taxes and deregulation, but the imposition of tariffs and escalating rhetoric with China has created uncertainty for our commercial customers. We are optimistic that the new trade agreement with Mexico and Canada will help alleviate some of this geopolitical uncertainty. In addition to the developments in international trade, we are closely monitoring corporate debt levels. Higher leverage borrowers outside the traditional banking sector may experience difficulties as the Fed continues to raise interest rates. These issues could have a spillover effect that may negatively impact economic growth. While the overall economic backdrop remains supportive of future growth, we believe it is prudent to remain cautious. We will continue to maintain our disciplined focus on credit quality and profitability. Moving on to our strategic priorities, at Fifth Third we are focused on three key priorities. They are designed to enhance revenue growth as well as achieve expense efficiencies. Executing on these initiatives will enable us to achieve our financial and strategic objectives as we have previously communicated. First, we are focused on completing the implementation of our remaining North Star initiatives. We announced North Star in late 2016 along with the financial targets that we expect to achieve after completing the program. As we have said previously, the vast majority of the projects will be completed by the end of this year with results fully realized by year-end 2019. There are a few areas of work remaining to be completed this year but we are very pleased with our overall progress. We believe that our strong results again this quarter indicate that we are on track to achieve our objectives under Project North Star. Our next party is to successfully complete the MB Financial transaction. With the North Star implementation work behind us in 2018, we can focus on ensuring that the integration of MB proceeds smoothly. We remain confident in our ability to realize the expected expense and revenue synergies which we have previously communicated. We were pleased that the MB common shareholders recently voted to approve the transaction. We continue to expect to be able to close in the first quarter of 2019. Additionally, we recently re-submitted our CCAR plan to our regulators with the pro forma impact of the acquisition. We expect to receive feedback by the end of the year. In the meantime, our capital distribution activities should remain consistent with the plan originally submitted in April of 2018. The completion of the MB transaction is subject to regulatory approvals and other customary closing conditions. As Tayfun will mention in his remarks, everything is progressing as expected. Our third party is to pursue profitable organic growth opportunities in our key businesses. In addition to our branch network optimization initiative to drive improved household deposit and revenue growth across our retail footprint, we are also prioritizing organic growth opportunities across all areas of the franchise. For instance, we continue to assess opportunities in high growth markets where we can combine strong talent with local market knowledge and our enhanced product capabilities to successfully grow the portfolio. Additionally, we are continuing to add to our sales force in wealth and asset management, treasury management, and the capital markets business. Moving on to the key highlights for the third quarter, I would like to review some key aspects of the results and then Tayfun will discuss the quarter in greater detail. First, we continue to strengthen our balance sheet. As you may recall, one of our key objectives in Project North Star was to appropriately balance risk and return in order to outperform through the credit cycle. We are very pleased with the progress we have made. Our key forward looking credit metrics continue to improve as criticized loans were at the lowest level in nearly 20 years and non-performing assets are at the lowest level since before the crisis. We have also focused on originating loans more selectively, again enhancing resiliency of our balance sheet. While we have maintained strong underwriting standards, our loan yield and net interest margin have continued to expand. We believe our strong credit profile will allow us to outperform our peers through cycles and return more capital to shareholders over time. Also, we continue to successfully generate profitable relationship growth. Despite challenging market conditions, we generated solid loan, deposit and household growth during the quarter. Compared to the third quarter of last year, we grew C&I loans by 4%, deposits by 3%, and households by 4%. Additionally, our wealth and asset management group has successfully generated positive inflows every quarter this year, on track for a record year both in terms of AUM and total revenue. Furthermore, we continue to diligently manage our expenses. Our expenses declined 3% from the prior quarter with headcount down 4%. I want to reiterate our expectations for core expense growth of only 1% in 2019 as we continue to drive positive operating leverage. Our focus on growing profitable relationships and diligently managing our expenses has led to a 9% increase in our forward PPNR compared to the third quarter of last year. Our results show we remain on track to achieve our enhanced North Star financial targets. In the third quarter, we generated a core return on tangible common equity of 14%, a core return on assets of 1.26%, and a core efficiency ratio excluding the impact of low income housing expense of 59%. I would like to once again thank our employees for their hard work and dedication and for always keeping the customer at the center, which is evident in our financial results. I would also like to thank our employees, the Cincinnati Police Department, first responders and many others for their efforts during and after the tragic event at our headquarters in early September. It has been remarkably humbling to witness how our company has come together over the past month and a half to deal with this tragedy. With that, I’ll turn it over to Tayfun to discuss our third quarter results and our current outlook.
Tayfun Tuzun: Thanks Greg. Good morning, and thank you for joining us. Let’s move to the financial highlights on Slide 4 of the presentation. As Greg mentioned, our third quarter results were strong. Market dynamics were constructive overall, although there were certain pockets where the environment was more challenging. We strengthened our balance sheet, focused on profitable relationship growth, and maintained expense discipline. Reported results were negatively impacted by the items noted on Page 2 of our release, including a $17 million pre-tax charge related to the Visa total return swap and an $8 million pre-tax charge reflecting the mark-to-market on our Green Sky equity stake. Excluding these items, pre-provision net revenue increased 7% sequentially and 9% year-over-year. Strong revenue growth and well contained expenses are starting to lower our efficiency ratio, which improved substantially compared to the prior and the year-ago quarter. Excluding low income housing expense, our core efficiency ratio of 59% reached its lowest level since 2015. Our credit performance continued to be solid. While we reported the strongest forward-looking credit metrics in nearly 20 years, we added to our loan loss reserves as a result of strong loan growth. In his opening comments, Greg reiterated our top three priorities for long term success. These priorities are the guiding principles that we are using as a baseline for our 2019 plan expectations. Our goal is to carry the revenue momentum forward while maintaining tight expense control. We will continue to manage balance sheet risk by remaining mindful of the environment factors impacting our business. We expect to continue to benefit from rising rates, which gives us room to start managing for the maturing credit interest rate cycle. We also expect good credit performance as the economy continues to expand but believe that our strong credit profile positions us well for the eventual turn in the cycle. Lastly, we continue to manage our capital prudently with the ultimate goal of rewarding our shareholders today and in the future. Moving to Slide 6, as we have been indicating over the past few months, the combined impact of the commercial exits and reduced auto originations is mostly behind us. The benefits of North Star are also coming to fruition. As a result, we expect to achieve higher overall loan growth going forward compared to the past couple of years. The amount of quarterly growth of course will vary depending on environmental factors. This quarter, average total portfolio loans were up 1% compared to the prior quarter, mostly reflecting growth in C&I loans. We achieved the same growth rate in total loans on a year-over-year basis. End of period commercial loan growth was 2.5% compared to the prior quarter and was consistent with our previous guidance. Our success in generating profitable growth in both corporate and middle market lending reflects the emerging results of our North Star initiatives. End of period commercial real estate balances increased 2% compared to last quarter. Although CRE growth was strong sequentially, balances increased less than 1% compared to the year ago quarter. We believe our CRE balances are likely to remain well below our peers’ as a percentage of capital. CRE balances as a percentage of total risk-based capital were approximately 60%. This was the lowest in our peer group and significantly below the next lowest peer. We will continue to maintain a cautious approach to commercial real estate lending at this point in the cycle. We currently expect our end of period total commercial portfolio to grow modestly on a sequential basis in the fourth quarter. Average consumer loans were up 1% both sequentially and compared to the year ago quarter. End of period consumer loans were flat compared to the prior quarter, in line with our previous guidance. It is worth noting that we are at an inflection point in our indirect auto loan portfolio as balances were essentially flat in the third quarter. This is happening somewhat earlier than we anticipated as originations have started to outpace runoff, albeit at a more modest pace. The decline in home equity loans continues to reflect runoff in our legacy book and is consistent with industry trends. Similar to the first two quarters, our credit card and other unsecured consumer loans continue to grow this quarter. Growth rates in these portfolios are in line with industry trends and are above our historical growth rates, reflecting the North Star initiatives. In the fourth quarter, we expect total end of period consumer loan balances to be relatively flat compared to the third quarter. This will mostly reflect a seasonal decline in the mortgage portfolio and continued runoff in home equity loans. Our auto and credit card portfolio growth rates should be similar to the third quarter. Total core deposits were up 3% on a year-over-year basis and stable compared to the prior quarter. Our goal is to fund incremental loan growth with core deposits. To help achieve that, we will continue to focus on generating above peer average household growth. We also plan to grow commercial deposits with the support of corporate treasury management engagements, again reflecting a number of North Star initiatives. Moving on to Slide 7, net interest income was up $70 million or 7% from the year ago quarter. The NIM increased 16 basis points from the third quarter of 2017. Compared to the prior quarter, NII increased 2% or $23 million and the NIM expanded two basis points, both of which exceeded our previous guidance. The average rates on interest bearing core deposits increased 9 basis points during the quarter, well below the 13 basis point increase in the second quarter. The most impactful factor on our NIM continues to be deposit betas. Our cumulative beta leading up to the September 2018 Fed hike was approximately 30% with consumer in the low 20s and commercial in the low 50s. The June rate hike resulted in a consumer beta of approximately 30% and commercial beta of about 70%, resulting in an overall beta of 45%, and we expect the September rate increase to result in a combined beta of approximately 50%. We expect incremental increases in deposit betas with additional future rate hikes. We expect fourth quarter NIM to increase two to three basis points from the third quarter, which assumes a December Fed funds rate increase. Accordingly, we expect our fourth quarter NII to be up approximately 2% sequentially, which is largely a function of the expected balance sheet growth and the benefit from the September and December rate hikes. This translates to 8% NII growth for the full year 2018. Moving on to Slide 8, excluding the impact of the non-core items, non-interest income increased 3% compared both to the year ago and prior quarter. The overall trends in fee income reflect strength in wealth and asset management and corporate banking, and steady increases in payments processing and consumer deposit revenues. We expect these trends to continue with some quarterly fluctuations. The outlier in fee performance is clearly mortgage banking, which is very much reflective of the industry trends. The weakness is mortgage is clearly impacting our total fee income growth year over year. Our year-to-date fee income is up approximately 2% on a core basis, but excluding mortgage core fees are up about 4%. This quarter, origination volume was $1.9 billion and the gain on sale margin remained low at 163 basis points. We added $3 billion to our servicing portfolio to be on-boarded in the fourth quarter, bringing the total acquired servicing portfolio to approximately $17 billion since the beginning of last year. Our corporate banking fees remain solid and we are optimistic that we will finish the year strong. Our strong pipeline should help us generate corporate banking fees between $120 million and $130 million in the fourth quarter, subject to market conditions. Deposit service charges increased 1% compared to both the year ago quarter and the prior quarter. Growth in consumer deposit fees has been encouraging and is tied to our strong household growth numbers. In treasury management, we have been able to grow our top line fees at a mid single digit rate this year, which helped us neutralize the impact of higher earnings credit rates. Card and processing revenue increased 4% compared to the year ago quarter due to higher credit and debit transaction volume, partially offset by higher rewards. Sequential performance reflected increased rewards. For the fourth quarter, we expect non-interest income to increase approximately 2% from adjusted third quarter non-interest income of $586 million. The 3% decline in reported non-interest expenses this quarter was better than our prior guidance. As we discussed last quarter, we continue to invest in high priority areas such as IT and marketing, but we are finding efficiencies elsewhere to limit the impact on overall expense growth. Our adjusted efficiency ratio for the third quarter was 61.7% or 59.3% excluding the low income housing amortization expense, which all peers reflect in their tax line. We have achieved positive operating leverage this quarter both on a quarter over quarter and year over year basis, and expect to continue to improve in the foreseeable future. Fourth quarter expenses, excluding any MB acquisition related expenses and assuming the FDIC surcharge remains in effect, are expected to be up only about 1% from the third quarter. If the FDIC premium is lowered, our expenses should remain flat from the third quarter. Although we are not prepared to review the details of our 2019 plan today, as we shared with you in September, we expect our core expenses to be up approximately 1% year over year in 2019. Turning to credit results on Slide 10, third quarter credit results continued to follow a positive trend in line with our expectations and reflecting the impact of actions that we executed over the last three years. The criticized assets ratio continued to improve, decreasing to 3.45%, near a 20-year low, from 3.87% last quarter and 5.5% last year. Net charge-offs were $72 million or 30 basis points, down 11 basis points from the prior quarter. The commercial charge-off rate of 19 basis points was the lowest since before the crisis. The consumer net charge-off ratio of 50 basis points improved 2 basis points sequentially. Total non-accrual portfolio loans and leases were $403 million, down 20% from last year and down 8% from the previous quarter. The provision for loan and lease losses totaled $86 million in the current quarter compared to $67 million in the year ago quarter and $33 million in the prior quarter. The coverage ratio remained at 1.17%. As we remind you every quarter, the current economic backdrop continues to support a relatively stable credit outlook with potential quarterly fluctuations, given current low absolute levels of charge-offs. Turning to Slide 11, capital levels remained very strong during the quarter. Our common equity Tier 1 ratio was 10.7% and our tangible common equity ratio excluding unrealized gains and losses was 9.12%. During the quarter, we initiated and settled $500 million in share repurchases. As Greg mentioned, we recently re-submitted our CCAR 2018 results revised for the pro forma impact of the combined Fifth Third and MB Financial Company. Our near term and long term capital targets remain the same as before and we will resume our capital management actions this quarter in line with our 2018 CCAR plan. At the end of the third quarter, common shares outstanding were down almost 17 million shares or 2% compared to the second quarter of 2018, and down 44 million shares or 6% compared to last year’s third quarter. Moving to Slide 12, we expect our tax rate for the fourth quarter to be in the range of 16.75% to 17.25%. Excluding the items that are specific to 2018, we would expect our long term tax rate to be in the 15.25% to 15.75% range. Now to Slide 13 with an update on the MB Financial integration. We remain on track to close the MB transaction in the first quarter of 2019 subject to regulatory approvals and other closing conditions. All regulatory applications have been filed. We continue to be encouraged by the highly successful talent and client retention results since the announcement. We also remain very confident in our ability to generate the expense and revenue synergies we have discussed previously. In summary, I would like to reiterate a few points. We reported strong financial results for the third quarter and remain focused on our three strategic priorities. We are nearing the completion of the Project North Star work and expect the financial results of these initiatives to become more apparent throughout 2019. We also remain focused on seamlessly integrating the MB acquisition and successfully generating the financial benefits as discussed previously. Lastly, we continue to position the company to enhance our financial returns through organic growth opportunities. To that end, we are optimizing our branch network to improve households, deposits and revenue growth. We also continue to add to our sales force in other businesses where we expect these resources to enhance our return metrics and where we believe we can achieve higher revenue growth, including middle market lending and capital markets. We are focused on successfully executing against our strategic priorities and remain confident in our ability to achieve our enhanced financial targets. With that, let me turn it over to Sameer to open the call up for Q&A.
Sameer Gokhale: Thanks Tayfun. Before we start Q&A, as a courtesy to others, we ask that you limit yourself to one question and a follow-up, and then return to the queue if you have additional questions. We will do our best to answer as many questions as possible in the time we have this morning. During the question and answer period, please provide your name and that of your firm to the operator. Kyle, please open the call up for questions.
Operator: [Operator instructions] Your first question comes from the line of Peter Winter from Wedbush. Your line is open.
Peter Winter: Good morning.
Tayfun Tuzun: Good morning, Peter.
Peter Winter: I wanted to follow up on that expense guidance for next year. Can you just talk about what some of the drivers are to keep expenses low and does it assume that the FDIC surcharge goes away, and how much is that?
Tayfun Tuzun: It does assume that the FDIC surcharge goes away basically beginning in 2019, and it’s about $45 million to $50 million a year. We assume that we will have a normalized merit increase for our base employees somewhere around 2.5 to 3%, that we will continue to maintain our information technology investments and maintain the growth in our sales force, both in retail as well as in our commercial groups. There is no change really in the business portions, but we clearly will benefit from the second quarter efficiency actions that we executed this year, and we will continue with increased savings in our real estate management area and also have a few procurement related expense savings. We are pretty confident that we will be able to achieve that in 2019.
Peter Winter: Then just a follow-up, corporate banking this quarter was a little bit lower than that guidance that you gave coming out of 2Q earnings, and then you are looking for a nice increase in the fourth quarter. Were there just some deals that got delayed and pushed into the fourth quarter?
Lars Anderson: Peter, this is Lars. I think consistent with what you’ve seen in the regional banks, debt capital markets activity was obviously muted. We are expecting, and I would say that we see early signs as we look at the fourth quarter, of a really nice pipeline in M&A and debt capital markets. It was lower than we had expected for the third quarter. I would tell you that we did have some benefit from that clearly in lower pay-downs. It wasn’t the key driver, clearly, of our--you know, if you look at our C&I loan growth, which was up on a quarter over quarter basis end of period 3%, it clearly benefited us in terms of our loan outstandings, but we would expect that the fourth quarter would be a good, solid one subject to market conditions. We’ve made a lot of investments there in investment banking, as you know, and have expanded our capabilities, aligned those with our industry verticals and well positioned.
Peter Winter: Thank you.
Operator: Your next question comes from the line of Geoffrey Elliott from Autonomous Research. Your line is open.
Geoffrey Elliott: Hello, good morning. Thanks for taking the question. First, just a little clarification. The slides talk about expecting to resume capital distribution activities consistent with the originally submitted plan. Is that just referring to resumption after a blackout period going into the quarter, or is there some sort of pause in the buyback while the Fed is reviewing the CCAR re-submission?
Tayfun Tuzun: There is no pause, Geoffrey. We will just resume the quarterly activity with the release of this earnings. It opens up our ability to execute the previously disclosed 2018 results.
Geoffrey Elliott: Got it, understood. On the expense side, it feels like the outlook has been kind of bouncing around a bit - you had the $4.0 billion to $4.1 billion range and then you said the low end of that, and then you dropped the guide to coming in at the low end, and then taking what you’ve said this quarter, it kind of points back to the low end of the $4.0 billion to $4.1 billion. Can you talk through what’s been changing over the course of the year there, and specifically what’s changed since the second quarter call that seems to make you a little bit more optimistic on potential to squeeze out some expense saves?
Tayfun Tuzun: Clearly expenses continue to be a very good story for us. In terms of the third quarter, we did a little bit better than we expected relative to how we discussed our expectations in July, so the third quarter number came in below our expectations. The only change for the full year is really the FDIC surcharge assumption. In July, our outlook actually assumed that that surcharge would go away in the fourth quarter of this year, so that adds another, let’s say, $11 million, $12 million number into our fourth quarter expectations. Back in July, we would have expected relative to where we ended up Q3 at flat expense growth into Q4, but we just took it up 1% because of that. But look - I mean, in the second quarter we discussed some of our marketing activities with you, obviously continued spend on IT. None of that has changed. We are seeing good results from our marketing investments, but we are finding more efficiencies elsewhere in our organization to be able to afford those investments without necessarily taking total expenses up, and that story continues into 2019 with our 1% guidance.
Geoffrey Elliott: Can you elaborate a bit more on the efficiencies? I guess you’ve told us where you’re still investing in technology and the sales force and merit increases, but could you give a bit more detail on where the biggest saves are going to be coming from?
Tayfun Tuzun: I think the second quarter action that we took in streamlining some of our middle office and back office functions alters the base comp direction, so on a full year basis that’s about $72 million, $80 million. On a year over year basis, it’s a little bit less than that because we’ve benefited this year for about a quarter, quarter and a half. We are seeing good efficiency actions coming from our continued focus on third party vendor management. Real estate clearly continues to be a source of saving for us. We have lowered a number of our third party spending, including consulting spend, so I think when we set out to achieve our efficiency ratio target of below 57% on a standalone basis by the end of 2019, we knew that these actions were slowly going to come online, and they are now coming online. With also good revenue growth, that tight expense management is enabling us to achieve the return targets.
Geoffrey Elliott: Thanks very much.
Operator: Your next question comes from the line of Erika Najarian from Bank of America. Your line is open.
Erika Najarian: Hi, good morning. Thank you. I just wanted to ask a little bit more about the competitive dynamics for commercial lending. There’s been a lot of conversation about the non-banks this quarter, and I’m wondering if from your seat, if you could give us a sense of how that’s impacting growth prospects for you guys and what the competition is looking like in terms of structure and/or rate.
Frank Forrest: This is Frank. Let me start from a credit perspective and then I’ll flip it over to Lars to talk about outlook from a competitive vantage point. From where we sit, and we’ve talked about it before, we have reduced our highest risk exposure in our company by $5 million over the last three years, and a large part of that has been on the leveraged lending side. The recipients of a lot of our take-outs, a lot of these were credits that we didn’t have an appetite for came from the non-bank banks. From where I sit, we’ve actually seen a benefit in being able to strategically reduce some of the higher risks we had in the leveraged portfolio by those that have a different appetite level than we do. Where we do see them, and you’ve heard this on other earnings calls, clearly we see their influence from a structure perspective and a pricing perspective today. That’s something we have to evaluate. We see them in the real estate markets, we see them in the leveraged markets, and we’re seeing increasing exposure from them in middle market because a lot of PE firms now have ownership interest in middle market companies and they have--they tend to have broader relationships outside of traditional banks, and so we see it there as well. I expect as we go forward we’ll see it more in the syndicated loan market. We are seeing more syndicated loan participants today that are non-bank banks, and as a result of that, that could get interesting if we end up with an economy that slips a bit and you have people that have a different appetite for risk than what we have. Anyway, that’s from a credit perspective of where we’ve been influenced.
Lars Anderson: Yes Erika, I think Frank hit it nicely. That’s the environment. I would just tell you very quickly we’re seeing continued success, now two quarters, in middle markets, which was a core part of our North Star investments. Our capabilities, our ability to deliver, I’d say a more flexible, empathetic, relationship-based approach to the market, there is a part of the market out there that’s looking for that versus institutional type lending and debt. We’re harvesting those opportunities - that’s consistent with our strategy. We’re doing the same thing even into corporate banking, that lower end of corporate banking. We’re really coming in with some expertise that’s unique. So there is opportunities, but I will tell you that structure and pricing is getting stretched, but we’re going to stay very focused on our credit discipline, on our pricing returns, relationship pricing returns, but there is clearly a shifting in the macroeconomic environment.
Erika Najarian: Got it. As my follow-up question to that, Frank, thank you for reminding us how much you have reduced risk. I’m wondering if you could share with us what your current exposure stands today in terms of residual leveraged lending exposure and term facilities for sponsor-backed transactions.
Frank Forrest: Erika, overall we do not have a significant exposure today within our commercial book. Again, that’s because of the fact that we’ve taken over a 50% reduction in that exposure over the past 36 months. I can tell you we operate within board-approved risk appetite limits of that book. We’re still actively involved in the leverage business, and Lars has an outstanding team that focuses on that. We treat leverage as a specialized credit product at Fifth Third, we don’t treat it as a separate line of business, so it’s there to support existing clients primarily that we know well and have operated for a number of years in an leveraged environment and performed very well. Our credit underwriting standards, we believe are prudent. We’re not changing those standards. I’ll also add that even though there’s been a lot of articles recently about higher risk leveraged books being highly concentrated in cov-lite structures, virtually no covenants, it’s only 10% of our leveraged book, so we continue to structure and underwrite I think in a prudent fashion, again with clients that we feel very good about. I’ll see if Lars has any additional comments.
Lars Anderson: No, I think you hit it well, Frank - very disciplined approach to that market and a very small part of our overall strategy and book.
Erika Najarian: Clear, thank you very much.
Operator: Your next question comes from the line of Mike Mayo from Wells Fargo Securities. Your line is open.
Mike Mayo: Hi. Can you give a little more color on MB Financial? Does that close the first day of the new year, or the last day of this year? Versus your original expectations, we can see your targets on the page, but just qualitatively, what looks a little bit better than what you expected and where do you think it will be a little bit more of a challenge, and specifically if you could address expense growth and loan growth and some other areas.
Greg Carmichael: Mike, this is Greg. I’ll start and then I’ll throw it over to Jamie, who’s leading that integration effort for us that we discussed before. First off, our intent right now hopefully is to receive regulatory approval this year and close the transaction first quarter of next year. Once we close the transaction, we’ll work had to get that integrated as quickly as possible, but right now that’s been our original plan and that has not changed. As Tayfun alluded to, we’ve filed all appropriate regulatory filings and so forth and applications, so we’re just waiting to get that response back and then we’ll move forward with closing that first of the year. We will not close that transaction this year. With respect to our focus on achieving the expense expectations of $255 million, we’re very confident, Mike, in our ability to accomplish that task, even more so than we were when we first put that target out there. With all the due diligence that has been done since then and the efforts of the team, we feel really comfortable we can deliver on that commitment that we made there. In addition to that, we think there’s really opportunities on the revenue side. We put a number out there of $60 million to $75 million. We feel very comfortable based on where we’re bringing the business together and what we see as those opportunities in our partnership with MB Financial. It’s a very talented group, and we feel very comfortable we can achieve those objectives over the years after we complete that transaction. Jamie, do you have anything you want to add?
Jamie Leonard: Yes, I’d say thanks for the question, Mike. As Greg mentioned, we’re definitely confident in the modeling we did and our ability to hit our targets; but back to your question on maybe one of the most surprising or impressive things, it’s just really been the quality of the people at MB, the business that they operate, the very high touch, white glove treatment that their customers get that we’re very focused on ensuring that that continues post-integration.
Mike Mayo: As far as the expense growth target for the firm next year, up 1%, how does that reflect MB Financial?
Jamie Leonard: That’s on a standalone basis, Mike. Obviously we’re pretty public about our expense expectations regarding MB.
Mike Mayo: Then the last follow-up, with the increased competition from the non-banks and the impact of higher interest rates, the impact on loan growth at MB Financial specifically, do you feel that that could be a little bit more of a challenge in this environment? Do you feel fine, or how do you think about that?
Jamie Leonard: Mike, good point. I’d really point out three things that are really important as I look at our revenue synergies and our ability to get attractive returns. One, they are outstanding in that lower middle market space that is so important to us. They get attractive returns, build deeper client relationships, clients have very, very high client satisfaction scores, so that’s really positive. They also bring to us a piece of asset-based lending that we have significantly increased over the last couple of years. We hit number 18 on the lead tables this past year as a standalone company. Having MB join us, it only complements our national asset-based lending capabilities again with their lower middle market strategy. Same thing with equipment finance - they have a lot of expertise in that area. We’re excited about what that’s going to do for us. I’d just say on those three key fronts, and there is more, there’s lots of opportunities for us to, I think, drive attractive returns and relationships.
Greg Carmichael: Mike, the only other thing I would add - this is Greg - is we talked about the quality of the people, and once again we couldn’t be more pleased with the talent and the interactions that we’ve had with that business. We’ve also done a really nice job, and I credit Mitch Feiger, the CEO and that team, of retaining the talent that we have in place and retaining the customer base. We haven’t seen any real material change in talent o the customer base we have seen, which is what we thought we would execute against, but we’re seeing that come to fruition as we continue to move towards integration.
Mike Mayo: All right, thank you.
Operator: Your next question comes from the line of Saul Martinez from UBS. Your line is open.
Saul Martinez: Hey, good morning. I just wanted to follow up on MB Financial. I’m not sure how much you can talk to their third quarter results specifically, but they did have a sizeable uptick in loan loss provisions and NCOs - I think it’s related to one specific credit. But you have seen some of the smaller banks have some credit hiccups this quarter, you guys yourselves have raised some concerns about corporate leverage more broadly, but is there anything that’s changed on the margin in terms of how you see the risk profile of their credit book, or is this just an idiosyncratic dynamic that just happens from time to time?
Frank Forrest: This is Frank. They operate as a separate company from us. What you see is what we know. We can’t comment on their specific performance. What I can tell you is that we did extensive due diligence in credit on MB, and we remain confident of the work that we did.
Jamie Leonard: Just by the nature of the announcement, Saul, just one credit appears to more of an isolated idiosyncratic event, which does not taint the rest of the portfolio.
Saul Martinez: Okay, fair enough. If I could change over to the fee outlook, 2% growth sequentially, is that a conservative estimate, because the corporate banking alone, 120 to 130 from 100, that’s over 4% sequentially. You do have the TRA, I believe, with $20 million - correct me if I’m wrong. You’ll lose maybe not so much in terms of private equity gains next quarter, but just kind of sifting through a lot of the moving parts, can you just help us understand what’s sort of underlying that guidance more on a line-by-line basis, because on the surface it seems like perhaps it’s a little bit conservative, but I may be missing something.
Tayfun Tuzun: No, I think in general we would hope to do better in corporate banking. Fourth quarter tends to be a strong quarter, but I think we’re also guiding to a fairly strong growth in corporate banking. There were some private equity gains this quarter that fell to our bottom line and those are periodic. It’s difficult to forecast those gains, so that has some impact. Continued weakness in mortgage banking, clearly both obviously on a quarter over quarter as well as year over year basis, that’s been really our Achilles heel here this year, just based on the market dynamics; but in general in other areas, including deposit fees we should do well, there is some seasonality associated with it, but overall I think we feel good about 2%. We would hope to achieve better, but also we’re cognizant of some of the challenges in the market with respect to fee growth.
Saul Martinez: Just one quick follow-up - is the TRA cash flow of $20 million embedded in the guidance as well?
Tayfun Tuzun: It is, yes. Correct.
Saul Martinez: All right, thank you.
Operator: Your next question comes from the line of Matt O’Connor from Deutsche Bank. Your line is open.
Matt O’Connor: Good morning. I was wondering if you could talk about just how you’re approaching share buybacks through the CCAR cycle. Obviously you use a lot of your submission in the third quarter. You talked about submitting your plan or re-submitting your plan to include the acquisition from the Fed. I don’t know if there’s a possibility of going back again since you still have strong capital levels and SOX obviously off quite a bit from the high part of the market, maybe part a surprise from the deal. I guess the question is thoughts on maybe going back to top off the ask from the Fed, and then of course you’ve got a big stake in Worldpay, which stock has done quite well this year, and are you incrementally incented to try and monetize that, given where your stock is? Thank you.
Tayfun Tuzun: Thanks Matt, good question. In the near term, we clearly have to wait for the Fed’s response to our resubmission. Until that, we will continue to execute our CCAR 2018 plan, which is by itself a fairly strong plan in terms of both buybacks as well as dividend raises. Beyond the resubmission decision, we’re going to have to take a look at the combined company as we execute to integrate two companies, look at the underlying revenue growth, etc. I agree with you that the current market presents some interesting opportunities for us both in terms of our own capital growth as well as how we use Worldpay. We obviously are watching the same dynamics. We’ve been pretty successful in the past in executing the exit from Worldpay and buying back our own stock. That continues to be on our plate, we have a little over 2%, so we are looking at considering the same factors, we just need to get over this near term decision point with the Fed and then re-evaluate what’s left for us in the remainder of this 2018 plan period.
Matt O’Connor: Okay, that’s helpful. Just remind us what the dollar amount of your ownership stake in Worldpay is, what’s the cost basis, and I think you’ve said in the past that it’s important but something that might be exited over time, so just update us on going from slightly above 3 to potentially zero.
Jamie Leonard: Matt, it’s Jamie. We own about 10.3 million shares of Worldpay with roughly a $400 million cost base, so the unrealized gain--I haven’t checked lately, but it’s roughly $600 million. Given the value, should be around $950 million or so.
Matt O’Connor: Okay, sorry. I think you guys have talked about while it’s important, that you’d be open to selling that all down over time. Just if we could revisit the strategic importance versus the financial opportunity to sell that down in its entirety over time, and that’s it for me. Thanks.
Tayfun Tuzun: Yes, there is no strategic value in owning a small percent of a public company. We will liquidate that stock, we just need to find the right time to do that.
Greg Carmichael: Matt, we’ve been very, very thoughtful about how we’ve monetized our shares, as you’ve seen over the years. Our equity position [indiscernible], as Tayfun said, we’ve been very public that our intent is not to hold this. You could expect where we’re at right now, that we’ll act on that appropriately, and obviously given where our equity is trading today, there’s some opportunities there that I think might make sense for us as we assess our options.
Matt O’Connor: Thank you.
Operator: Your next question comes from the line of Ken Zerbe from Morgan Stanley. Your line is open.
Ken Zerbe: Thank you, good morning. Just had a question on the non-interest bearing deposits, they’ve obviously been running off over the last couple quarters, which is consistent with what we’ve seen in a number of other banks of course. Could you just talk about some of the strategies you’re putting in place to try to minimize or mitigate some of that DDA runoff? Thanks.
Jamie Leonard: Ken, it’s Jamie. The third quarter performance in non-interest bearing deposits was a little different than what we saw in the second quarter. If you recall in the second quarter, commercial DDAs were soft - that was driven by the increase in the earnings credit rate, and that was roughly a 45% beta as we adjusted our rates up in the second quarter. Then in the third quarter, commercial DDAs were actually relatively stable - they were down 1%, and so during the third quarter we increased the earnings credit rate by about a 15% beta, and that’s what we expect as well heading into the fourth quarter. I do believe the second quarter will be the highest amount of commercial DDA runoff just as we’ve been adjusting those earning credit rates. On the consumer side, the DDAs were down 4% sequentially, and that’s really just driven by a seasonally soft quarter, so we would expect both DDAs and deposits to be up in the fourth quarter driven by a lot of our initiatives on the consumer side. We spent a lot of time talking about our household growth - we’ve grown households 4%. We’ve increased branch staffing on the mass affluent, outbound calling and client management, along with the marketing efforts and the promotional and cash offers, and then building for 2019 and beyond, the southeast branch expansion that Tayfun mentioned. I feel like the drivers on the consumer side are there and the results are there, it’s just the third quarter was seasonally soft from a consumer perspective, and on the commercial side the DDA mitigant to the interest rate headwind is really going to be driven by our ability to drive new client acquisition and further improve treasury management sales. To the extent that we’re able to do that, you will continue to see a rebound in deposits beyond just the seasonal benefit we’ll see in the fourth quarter.
Ken Zerbe: All right, great. Thank you.
Operator: Your next question comes from the line of Vivek Juneja from JPMorgan. Your line is open.
Vivek Juneja: Hi. A couple of questions. Firstly just on the non-interest expense side, how has your headcount done this quarter - was it down versus second quarter, any color on that?
Greg Carmichael: It was approximately down 4% from third quarter over second quarter, [indiscernible].
Vivek Juneja: Okay, and how much was the incentive comp reduction? Was there any reversal in this quarter or just accrual, what was it?
Tayfun Tuzun: Incentive comp plans, clearly one of them is just directly tied to activity levels and revenue levels, and there’s been no change to that. In terms of variable comp, we continue to look at it on a quarterly basis. For the year relative to last year, we are going to be up in our total variable comp payout, and then the accrual of that changes from one quarter to another, both based on headcount as well as based on just the overall performance activity. I would say for the first three quarters of this year, we are up compared to the first three quarters of last year, and for the full year I expect us to be up as well.
Vivek Juneja: Okay, great. Thanks on that. Going back to the MBFI, the charge-off that was incurred on one commercial relationship, their charge-off rate was 82 basis points. You had assumed a mark when you had--or at least you talked about a mark that you planned to take when you closed the transaction, this was upfront when you announced the deal. Was this loan part of that or was this a surprise, because obviously commercial is one of those where you don’t have 25 or 50 loans going bad, it is only a couple of episodic loans that cause the losses. When you look at the charge-off rate for C&I, if this came from C&I, that implies a 2% charge-off rate on C&I but CRE is 2.6%, so those are fairly high loss rates given where they were.
Tayfun Tuzun: Yes, agreed. I mean, I think again--I’ll just go back to Frank’s statement, that they still are a separate company and we don’t necessarily have access to the information that they have yet. In terms of the mark that we discussed when we announced the transaction, at this point we’re not updating that mark and thus a one loan charge is not going to necessarily move our number. At this point, what they charge off this quarter is not expected to impact the mark that we will take when we close the transaction.
Vivek Juneja: Okay, thanks.
Operator: Your next question comes from the line of Christopher Marinac from FIG Partners. Your line is open.
Christopher Marinac: Thanks, good morning. I may have missed it on the earlier remarks. The loss on Green Sky, is that the final piece of the investment or are there additional minor things that can occur in the future?
Tayfun Tuzun: No, as you remember Chris, we invested $50 million when we started working with Green Sky, and then obviously they went public in the second quarter. We own about 2.5 million shares there and this is the impact of their share price during the quarter.
Christopher Marinac: Got you. Your relationship with them continues to grow. What’s the approximate balance that you have with them?
Tayfun Tuzun: It’s a little over a billion dollars as of quarter end.
Christopher Marinac: Okay, very well. Thank you, Tayfun.
Tayfun Tuzun: You’re welcome.
Sameer Gokhale: Okay, I think if you don’t have any further questions, thank you all for your interest in Fifth Third Bank. If you have any follow-up questions, please contact the Investor Relations department and we will be happy to assist you.
Operator: This concludes today’s conference call. You may now disconnect.